Operator: Good morning, and welcome to the DLH Holdings Fiscal 2022 Fourth Quarter Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Chris Witty, Investor Relations Advisor. Please go ahead.
Chris Witty: Thank you, and good morning, everyone. On the call with me today is Zach Parker, President and Chief Executive Officer; and Kathryn JohnBull, Chief Financial Officer. The company’s earnings release and PowerPoint presentation are available on our website under the Investor page. I would now like to provide a brief safe harbor statement, which is also shown on Slide 2 of the presentation. This call may include forward-looking statements that relate to the company’s outlook for fiscal 2023 and beyond. These forward-looking statements are subject to various risks and uncertainties that could cause actual results and events to differ materially from these statements. Please refer to the risk factors contained in the company’s annual report on Form 10-K and in our other filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements. On today’s call, we will be referencing both GAAP and non-GAAP financial measures. A reconciliation of our non-GAAP results to our reported GAAP results is included in our earnings release and in the investor presentation on DLH’s website. President and CEO, Zach Parker, will speak next; followed by CFO, Kathryn JohnBull, after which we’ll open it up for questions. With that, I’d now like to turn the call over to Zach. Please go ahead, Zach.
Zach Parker: Thank you, Chris, and good morning, everyone. Welcome to our fiscal year 2022 fourth quarter conference call. Earlier this morning, we posted our quarter and year-end earnings. I am pleased to report that the end of the fiscal year came with record results that positioned us very well for the future. I must say that the employees, the leadership and partners of DLH have remained incredibly focused and committed to our clients' missions to allow us to achieve these results. Beginning with slide three, I will first provide a high-level overview of the quarter and year, starting with the top line results.  During Q4, we grew revenue by 3% year over year to 67.2 million, reflecting organic growth and increased overall demand for our diverse range of programs and services. For the full fiscal year, revenue climbed to 395.2 million, reflecting the COVID-19 related FEMA contracts in Alaska that completed earlier in 2022.  The fiscal year was certainly a standout one in terms of top line performance, yet we are most excited by the numerous opportunities which still lie ahead. I will discuss the outlook more in a moment.  We posted fourth quarter operating income of 4.7 million or 7% of sales, and for the full-year, 33.4 million or 8.4% of sales. EBITDA was 6.6 million for Q4 and 40.9 million for fiscal ‘22 as a whole, while we reported EPS of $0.24 per share for the fourth quarter and $1.64 for the year. In addition, we paid down 6.5 million of debt during the quarter, ending the year with 22 million outstanding. Our backlog entering fiscal 2023 was 482.5 million, reflecting seven new multiple award IDIQ wins and three strategic re-competes during the year.  Turning to Slide 7, I wanted to show our track record of performance over the past 10 years, while fiscal 2022 benefited from the contribution of our turnkey FEMA contracts in Alaska, the growth and consistency of our EBITDA margins speak for themselves. I am so proud that we have such a talented, dedicated workforce, which leveraging our in demand advanced technology services and solutions have driven DLH to the high level of operating results that we now enjoy. In addition, the future continues to look bright.  Look to Slide 5. It provides an overview of current micro conditions, which we believe bode very well for the company going forward. It's reassuring to note that our programs and the agencies that we serve focusing on public health, Department of Defense, veterans and digital transformation services continue to enjoy solid, longstanding support in Washington on both sides of the aisle. So while the government is still operating under a continuing resolution, which we expect to be extended, we do not anticipate any major changes to the outlook for FY’23. There have been an obvious shift from COVID to Ukraine related activities for our federal government during the year, as well as expanded regulatory reporting requirements. However, we're confident that this demand with -- the demand within our core markets remain very, very strong. There continues to be a commitment throughout the federal government for technology upgrades and overall modernization of agencies and programs within them.  This includes, for example, digital transformation and a focus on cloud computing incorporating cybersecurity, and particularly with regard to health-related information in the Department of Defense.  Federal clients are looking for exactly the type of services in which we have been strategically aligned, agile based innovation, and cost-effective solutions to enhance science, research and development and policy deployment to support critical missions for our nation.  In fact, while the outside world has had to deal with additional challenges this year, including supply chain constraints and inflationary pressures, the government market for our services had remained quite stable. There has been an increased focus on equitable adjustments leading to higher competition and greater use of multiple award contract IDIQ vehicles. We are effectively managing through these minor headwinds well, and winning new contracts in tandem.  In addition, while the tight labor markets continue, we have in place and continue to attract top-notch research and engineering talent to the company. Of this, I’m especially proud. I'd like to talk a bit more about the opportunities which lie ahead for DLH. While the federal government's fiscal 2023 budget has yet to be finalized, as we mentioned, we feel confident due to the fact that historically our work has proven to be strong bipartisan support programs.  Our business solutions align well with spending priorities in Washington with increased funding expected for the Department of Veteran Affairs, Defense, and Health and Human Services. Importantly, during the past year, DLH was selected as a competitor for future task orders across 7 domains of 3 multiple award IDIQ programs, $665 million ceiling with DA, one with $320 million ceiling with a National Institute of Health, and a large 10 year -- $10 billion ceiling under the program with the Department of Defense and its health agency. These give us a seat at the table for some very attractive opportunities in the future for which we expect to be bidding during FY ‘23.  Such awards with multiple participants are not included in our backlog number, but provide us with meaningful paths to accelerate growth in the quarters to come.  So even without affordable budget in place, we remain very optimistic about FY ‘23s continued growth and beyond. At the same time, we have a solid pipeline of strategically aligned M&A transactions that could further improve our market position and offer a new pathways for capability and expansion and profitable growth.  Our balance sheet remains strong due to the company's robust cash generation and ability to pay down debt, providing the financial flexibility needed for our future success. And yes, while we continue to enjoy excellent free cash flow.  With that, I'd like to turn the call over to our Chief Financial Officer, Kathryn JohnBull. Kathryn? 
Kathryn JohnBull : Thank you, Zach, and good morning, everyone. We're pleased to report another quarter of solid results and a great end of fiscal 2022.  Turning to Slide 8, we posted revenue of 67.2 million for the three months ended September 30, 2022 versus 65.2 million into prior year’s fiscal fourth quarter. The 3% increase year-over-year reflects higher demand for services across many of our existing programs, excluding the 1.7 million derived from FEMA contracts in Q4 of fiscal 2021, revenue increased 6% year-over-year. Given high bidding activity levels in our current backlog, we are optimistic about solid organic growth heading into fiscal 2023 and beyond.  Moving to Slide 9. Income from operations was 4.7 million for the quarter versus 4 million in the prior year period, and as a percent of revenue, the company reported an operating margin of 7% in fiscal 2022 versus 6.2 in fiscal 2021. The increase in margins resulted from a higher portion of our revenue in fiscal 2022 deriving from contracts with stronger margins. Interest expense was 0.5 million in the fiscal fourth quarter of 2022 versus 0.8 million in the prior year period reflecting lower debt outstanding. DLH recorded a provision of 0.8 million and 0.3 million for tax expense during the fourth quarters of fiscal 2022 and 2021 respectively.  We reported net income in the fourth quarter of approximately 3.4 million or $0.24 per diluted share versus 2.9 million or $0.21 a share last year. As a percent of revenue, net income was 5.1% for the fourth quarter of fiscal 2022 versus 4.4% for the prior year period.  Turning to Slide 10. EBITDA for the three months ended September 30, 2022 was approximately 6.6 million versus 6 million in the prior year period, or 9.8% and 9.3% of revenue respectively. A reconciliation of GAAP net income to EBITDA is provided in our earnings statement at the back of this presentation.  Slide 11 gives an updated snapshot of our debt position at the end of the year. As of September 30, we had approximately $22 million of debt outstanding under our credit facilities versus 46.8 million at the end of fiscal 2021 and our leverage ratio remains well under one time. We continue to use our substantial cash generation to paydown debt and delever the balance sheet leading us in a strong position for any future opportunistic transactions during fiscal 2023.  This concludes my discussion of the financial statements. With that, I would now like to turn the call over to our operator to open for questions. 
Operator: [Operator Instructions] Today's first question comes from Joe Gomes with Noble Capital. Please go ahead. 
Joe Gomes: Good morning, Zach and Kathryn. Nice end to the fiscal year. So I wanted to follow up, you know, Zach, you talked about, you know, obviously the potential M&A and having a nice backlog of potential opportunities. And one of the things you talked about was capability expansion. Just wondered if you could give us a little more color on, you know, what kind of capabilities would you be looking at, you think to expand into through some M&A? 
Zach Parker: Yes, as you know, we've talked a lot, at least Kathryn and I while we've been on the road this year around having really established pretty much a well-rounded platform across the three market focus areas. Once we completed the full integration of the IBA team. And so our emphasis going forward has been really to focus on the digital transformation and cyber security aspects of delivering greater value propositions for current customers as well as our clients in areas supporting our scientific research, research and development and other systems in engineering work. So they'll largely continue to find good opportunities in both the health IT component department of Defense and other clients that really emphasize our digital transformation and cybersecurity capabilities. 
Joe Gomes: And on kind of a follow-up, you talked about obviously the government's operating under continuing resolution. You think that will be extended just looking at that maybe kind of you can refresh our memories in the past when this has happened what kind of impact, if any, has it had on the company? And do you see this, you know, kind of as the biggest challenge here in the near term? Or is there something else that you think is the biggest challenge the company's facing right now? 
Zach Parker: Well, I do think, across our industry the continuing resolution generally restricts the amount of brand-new programs and new work that will be contracted out. Fortunately, probably 90% or north of 90% of the organic opportunities for new business growth for us are with recurring work, things that there's a current incumbent or multiple parties for which we'll compete. So we're hopeful that with the acquisition community across the federal government, that those will still come forward. I do think that, while there's some programs such as our VA new technology, IDIQ that are looking for new funding, might slow a little bit of the acquisition pace there. But other than that, we really feel pretty comfortable that the recurring work across the agencies that are well supported by the Hill will continue. 
Operator: The next question today comes from Brian Kinstlinger with Alliance Global Partners. 
Brian Kinstlinger: The first question I had, I'm hoping you can give some more detail regarding the pipeline and maybe plan submissions over the next 12 months versus the trailing 12 months as I'm trying to gauge your ability to accelerate or sustain organic growth. 
Zach Parker: Brian, as we featured in our discussion, we've been waiting for a few of these multiple sward IDIQ for a couple of years now. It was great to see that they were competed in FY ‘22, and even more importantly, that we were successful on the awards that we did secure. Every expectation is that, we will start to see task orders. -- Q2, across these agencies, the Defense Health Agency has expressed indication that they are going to having opportunities to compete. The other one, which we've talked about is with the national Institute of Health, in particular the national Cancer Institute, we expect to see those this year. And then as we alluded to the VA1, which is largely new technology innovations, great and important strategic win for us, might slip a bit before we start to see those task orders. Outside of those multiple award contracts, we've reduced a do still continue to have a pretty strong pipeline of new business opportunities. Both single awards which deliver immediate revenue as well as a couple of more major IDIQs that we've had our sites on.  We've talked quite a bit around CIO-SP4 now two years, the government has continued to see more than a dozen protests against that opportunity. So continue to slip it to the right. We're hopeful to seeing some success in awards on that during this fiscal year, which will create opportunities, hopefully late in the fiscal or certainly a launch us into a pretty good position going forward into FY ‘24. 
Brian Kinstlinger: Great. And then my follow up, kind of similar, Kathryn, you mentioned, high number of bids awaiting, sorry, high bid submissions in your prepared remarks. Can you say either what awaiting adjudication the value of that is? And if you can't share that number, can you talk about how it compares maybe to a year ago, excluding anything that includes FEMA, that particular FEMA award? 
Kathryn JohnBull: Sure, of course. So the trends does continue to reflect forward momentum as we've talked about the process of adding a corporate or Chief Growth Officer and really getting our full access to the three market sets that we completed at the end of fiscal ‘20. We believe all of that helps to provide the momentum that allows us to engage on broader set of opportunities and to increase the level of opportunities that we're submitting. So from our perspective, we believe there's reason to be optimistic about our ability to continue to compete favorably on the -- on a growing set of opportunities. 
Brian Kinstlinger: And just one last follow up, sorry. If you mentioned a Chief Growth Officer, as you guys have looked at the business, the market opportunity, is there a need for more business development folks? Is there planned hires coming to add to the business capture team? 
Zach Parker: Great question. Yes, we made that move strategically because we were, it was very important for us first to be able to have a vision and a view of an integrated one DLH, right? And we didn't really have that when we had both our existing heritage business development team, as well as those, as the new capabilities across our new newly acquired companies. So the CGL really allowed us to look across the enterprise, and that was quite frankly, extremely instrumental in our ability to win both of the domains that we bid for the Defense Health Agency.  During this year, we have committed to -- in the past year to growth in that in our growth organization that includes business development capture and proposal operations. We have a good budget going into this year to continue expansion there because that organic growth is now continuing to be a very, very top priority for us. So yes, you'll see a fair amount of continued expansion in our investment for organic growth. 
Operator: [Operator Instructions] Our next question comes from Debra Fiakas with Crystal Equity Research. Please go ahead. 
Debra Fiakas: Thank you. And thank you for taking my questions. I would like to perhaps return again to the pipeline question that was asked previously and maybe take a look at it from a little different vantage point. You had a very good organic growth rate, if you want to call it that. The growth rates excluding the FEMA contract this last year. And I wonder, do the bidding opportunities and the programs that you've been talking about this morning, do they provide for that same pace of growth? Higher, lower? 
Kathryn JohnBull: Thanks for joining us, Debra. It's good to have you join the crowd of interest to parties for DLH. Those pipeline opportunities do help. They are a channel for organic growth. Of course, it would be easiest and first channel for us is to grow our presence on our existing set of contracts. And we actively work that path of organic growth every day as we interact with our customers and look for additional opportunities to be of service and support for them. But in addition to that, of course, these pipeline opportunities really provide a significant and accelerator to organic growth because they're additive to the base of contracts that we have in hand presently. And so, you know, while we're, we are enjoying, as you said, an industry very competitive to the industry organic growth rate. It is deriving mostly from expansion on current contracts and sums the meaningful incremental awards. But our expectation is that the pursuit of these additional awards that are in our pipeline are going to really accelerate that meaningfully, particularly as Zach mentioned earlier, leveraging those IDIQ vehicles that we've recently secured as task orders start to flow underneath those IDIQs. 
Debra Fiakas: Okay. Thank you. And then if I could just ask that follow up question, and this is in regard to again to the top line, but from the vantage point of the backlog, there seems to be, to me a pretty significant portion that's not funded. Is this something to be concerned about or does it speak less to the magnitude of sales and more perhaps to the pace you have to wait for funding in order to get started on a program? Thank you. 
Kathryn JohnBull: Yes. It is not something that we're concerned about. It's a required disclosure, but it is really a function of the behaviors of the particular customers we have that some of them choose to fund annually. And of course that makes, that's administratively most efficient and effective. Some of them choose to fund on quarterly intervals. And so depending on where they are in that funding cycle, whether they get it done right before the end of the quarter or immediately thereafter, that's what's going to affect how much moves out of unfunded and into funded. But generally speaking, the customer inclination is to, the funding is all, is in support of programs and represents, sorry, excuse me. The backlog, I should say, represents their expectation of the services they need in order to execute the programs. And so it's highly probable that dollars will move from the unfunded bucket to the funded bucket, based on whatever administrative cycle they choose to adopt. 
Zach Parker: And Debra, we just a few years, several years ago, we were intentionally conservative on making sure that we published that way, because as Kathryn indicated, there are agencies as well as peer companies that will look at the full contract peer performance ceiling. But we wanted to make sure that we were really, really given the shareholders the funded piece in the most conservative fashion. 
Operator: The next question comes from Joe Gomes with Noble Capital. 
Joe Gomes: Couple quick follow-ups here. Maybe more directed towards Catherine. So, in the quarter there was a pretty substantial both sequentially year over year jump and G&A expenses. One wondering what was behind that. And two, is that elevated level something you're looking at going forward, or you think it goes back to a more normalized percentage of revenue in the out periods? 
Kathryn JohnBull: A couple of factors impacting it for the year. What most probably top of that list is just the non-cash stock compensation expense component. And so that is a really a function of our, having brought on an additional named executive officer and having a stock compensation award to that at a time when our stock price was high enough to cause a pretty significant book charge related to that non-cash charge related to that. Additionally, and this is -- you'll see this in our 10-K as it's filed. We have for the first time, and the company's history become subject to full review for SOS purposes. So we've always self-certified our internal controls as a public company. But we -- because of the company's success and increase in equity value, we have become subject to the external, the requirements of an external review of our internal controls.  And so we did accomplish that for the fiscal year ended 2022. And you can imagine that that took some resources to get through that cycle the first time. And of course, it's an ongoing requirement, so it will have ongoing incremental resources, but dare say they won't be as substantial as they were in the first cycle through.  And then thirdly, and to the point Brian asked earlier about investments in organic growth, you do see some peaking of that requirement in fourth quarter as we were in pursuit of these pipeline submissions that Zach talked about earlier. 
Joe Gomes: And then one more, last couple of years there's been going into the first quarter or so, maybe even bleeding into the second some delay, let's call it in accounts receivable getting paid. Just wondering you how you're comfortable you are, where the accounts receivable are today? Is everything kind of up to date or is there any concern there here in the near-term on the accounts receivable end? 
Kathryn JohnBull: Sure. I think that, I'm certainly comfortable with where we ended up with a quarter ended September. There's a normal congestion that's happened post year end, as is always the case when the government fiscal year flips over. But exiting fiscal ‘22, I was satisfied where we were notwithstanding that we consumed a bit of working capital by growth in and receivables. And as we've talked about many times over the year at the nature of our work moves away from the trades based oriented work that's billing on very favorable terms to a more traditional net 30 our day sales is going to creep up a little bit. But we're still a very competitive at a day sales at about 54, so we're converting to cash very quickly. And that doesn't mean I'm done, and it doesn't mean that we're not paying daily attention to looking for ways to kind of still continue to improve that cycle. But I don't see anything in the September numbers that gives me any concern. And I’m satisfied with where we are as indicating our ability to generate cash flow. 
Operator: At this time, there are no further callers in the queue. I'll turn it back to Mr. Parker for any closing remarks.
Zach Parker: Thank you, MJ. And once again, I'd like to thank you all for your continued interest and support for DLH. We look forward to following up with you as we address our -- at the Annual Meeting of the shareholders and in preparation for the launch of FY ‘23. Thank you all, and have a blessed day. 
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.